Miguel Maya Dias Pinheiro: Good afternoon, Miguel Maya speaking. Welcome to BCP Earnings Conference Call. I will go through the highlights of our performance, followed by Miguel Bragança and Bernard Klas, who will provide additional detail. In a context marked by high unpredictability, shaped by geopolitical challenges affecting economic agents' confidence, instability and unrest caused by the ongoing wars and the enduro significant reduction in interest rates, BCP achieved positive progress in results and key business and financial indicators in the first half of this year. Once again, we have demonstrated disciplined capital management, constant focus on operational efficiency, commitment to customer orientation, and the ability quarter after quarter to consistently deliver on the strategic plans we presented to the market. In the first 6 months, the consolidated net income stood at EUR 502 million, an increase of 3.5% year-on-year, supported by a strong operational performance, having achieved an ROE of 14.3%. All of our core markets, despite having different challenges, contributed positively to the results, with the activity in Portugal standing out once again with a net income of EUR 424 million, having increased 3.2% year-on-year. It deserves to be mentioned that the increase in net income in Portugal has been driven by the core capabilities of our business model. We have achieved higher operational revenues, although within the context of a continued reduction in interest rates over the past year, thanks to appropriate interest rate risk management and strong commercial intensity. These factors led to the expansion of business volumes, combined with a controlled cost of risk. The net income from international operations grew by 11.8% year-on-year, having achieved almost EUR 147 million in the first half of 2025, with special mention to the Bank Millennium in Poland, which recorded a net income of EUR 121 million despite charges above EUR 276 million still associated with the FX mortgage loan portfolio, of which EUR 219 million were provisions. Having already a substantial amount in provisions against the risk associated with the FX mortgage loans, which provides confidence to face the future, Bank Millennium continues to develop its core competencies, expanding the franchise to attract and serve a growing number of customers in an economy that is high value creation potential. In Mozambique, the net profit in the first half was EUR 24 million, a decrease of 48%, driven by impairments and provisions, mostly related with the downgrade of sovereign debt rating that followed the country's instability between the presidential elections and the inauguration in January this year of President Daniel Chapo. Despite the additional charge of impairments in the first quarter of 2025, Millennium Bim continued to build up its strong franchise and business model, which has enabled intense commercial activity that reflected in a year-on-year increase of 3.7% in the profit before impairments and provisions. The consistent organic capital generation capacity of our business model is well reflected in BCP's strong capital position. We have capital ratios comfortably above regulatory requirements with CETier 1 at 16.2% and total capital at 20.2%, which in accordance with the shareholders' remuneration policy that we present to the market only includes 25% of the non-audited profit generated in the first half and already considers the impact of the CRR 3. The quality of our retail banking business model across our markets based on a strong commercial skills and lasting relations with our customers led to an increase of 5.5% in customer funds and 3.5% in loan to customers. Customer funds surpassed EUR 106 million and loans to customers stood at EUR 60 billion at consolidated level, driven by an increase of 4.6% in Portugal, where loans to customers increased EUR 1.8 million year-on-year. We also kept the trajectory of improvement in the quality of the balance sheet. In the last 12 months, we have managed to cut nonproductive assets by an additional EUR 425 million, including EUR 336 million in NPEs and EUR 70 million in restructuring funds. Operating in a challenging environment, our rigorous management of the balance sheet risks enabled us to also improve the cost of risk to around 30 basis points, a level well below the threshold presented in the strategic plan. Overall, this was a positive first half, which we further strengthened the franchise, the asset quality, the capital ratios and the efficiency of the bank. In this symbiosis between excellent teams and distinctive digital competencies lays the backbone of our competitive edge, which is also reflected in the expansion of customer base. At group level, our customer base expanded 4% in the last 12 months, reaching 7.1 million, of which more than 2.8 million in Portugal. Most notably, mobile customers grew 9% during the same period, accounting for 73% of the group's customer base and 65% in Portugal being a very good indicator of the preparation and success of BCP to tackle the opportunities in an increasingly digital market. Individual and corporate clients continue to choose Millennium as their preferred bank, and our services were again awarded with prestigious distinctions recognized by the market. Customer recognition of our digital capabilities continues to be reflected in the use they make of the app. In the first half, customers carried out 11% more transactions through the app than in the same period last year, with a significant growth in the number of transfers. This platform reinforced its relevance in the effort to expand the customer base with an increase of 47% in the number of accounts opened directly in the app. The number of sales through the app increased 13% in the same period, with the emphasis on the sale of personal loans, which increased 42%. The convenient and end-to-end seamless experience provided by the app is driving its use by customers in their acquisition journey of solutions fit for the essential needs, being a relevant tool to have more processes fully digital. For instance, in the sale of mortgage loans, we saw an increase of 76% in the number of customers who received their approval letters through the app and 38% more mortgage de appointments where household scheduled through the app. The investment and priority we give to mobile solutions with a clear focus on customer-centric innovation means that our app continues to lead the rankings and deserve top reviews on the most relevant platforms. Before handing over the presentation, let me give you a word on the sale of Norbank. As we have always emphasized, our strategic plan is based on organic growth. So the outcome of this matter, which we consider positive for the Portuguese financial system does not affect our strategy and our strategic plan in any way. Our commitment has been to the bank's development focused on commercial intensity, operational efficiency and rigorous capital management, enabling BCP to position itself as a bank that generates and delivers more value. That focus has shaped our approach, creating more value is what we have been doing and what we intend to continue doing. Miguel, the floor is yours.
Miguel de Campos Pereira de Braganca: Good afternoon, ladies and gentlemen. As always, starting here with an overview of our income statement, we can see that in spite of the reduction in interest rates, we have been able to present a very resilient NII, both in Portugal and in Poland, as we had anticipated, a growth in commissions in the mid-single-digit area also as we had anticipated, with a higher weighting in Portugal than in Poland. The operating costs growing around 8.7% on a pro forma basis and 10.5% on a stated basis, basically because last year, we had finished the agreement with the unions in the second half of the year. So it only affected the accounts in half 2 of the year. So adjusting for this factor, 8.7%. So this means that we have been able to show in spite of the more challenging environment in terms of interest rates, a very, very resilient profitability before impairment and provisions growing by 3% from a level that I think we all agree is quite high level. The impairments have been reduced in our geographies, both in Portugal and in Poland for different reasons. In Poland, there was a sale of NPLs that generated a gain in impairments because in Poland, we typically only sell the loans after they are fully impaired. And we are seeing here a reduction of the cost of legal risks in Poland when compared with last year. And if we consider not only the cost that is booked in the provision line, but also the cost that is booked on the other income line and on the results of modification line, this reduction is around 1 quarter, around 25%. The profit before income tax growing 16% and after income taxes and noncontrolling interest, we see here a growth rate of 3.5%, mainly because of the high growth rate in Poland, where we have a larger stake of noncontrolling interest. Just to highlight the main points, the ROE above 14%, the RoTE approaching 15%, the growth in terms of book value per share plus dividend per share, reflecting the number of shares bought until 13th of June, 43.5% and the dividend yield based on the price of last year, so in the last 12 months of 8.9%. In terms of the group profitability, net interest margin growing 3.3%, as we had commented with some contraction in terms of NIM from 3.08% to 2.97%. And I would here like to highlight the very -- I would say, the very positive growth of the net interest income in international operations. This is mainly because -- but not only, but because of the interest -- the NII -- the lower NII generated by the credit holidays last year in Poland. So Poland -- but in spite of this, even without the effect of the credit holidays, Poland would have grown 5%. And in Portugal, in spite of the reduction of interest rates, a very stable NII. As you may see, our NII has been stable in the last 4 quarters. Of course, last quarter, there was an issue in terms of the account because as we know, February has less months than a typical month of the year. But still, we are showing a very consistent pattern in terms of NII, both in Portugal and in Poland. Fees and commissions in Portugal growing almost 7%, which is, I think it's an important print, showing clearly the growth of our customer base and our effort to generate profitability also in this line. In Poland, there is a higher challenge because, as you may recall, we have sold our bancassurance broker operations. This is having its impact, of course, in terms of fees when you do not correct -- when you do a pro forma basis. In any case, we expect as the bank develops as time goes by, this gradually to increase. Other net operating income. We see a very positive evolution in this line in this line. You can see in terms of Portugal, the mandatory contributions being reduced by around EUR 6 million because of a ruling of the constitutional court that declared one of those contributions basically unconstitutional. So this is positive news. And also going forward, this EUR 5 million to EUR 6 million a year that we used to have is something that we expect to continue. In Poland, of course, as the bank becomes normalized, we see a growth in mandatory contributions, basically adjusting the level of mandatory contributions in the bank to the normal level that it was not paying before. In terms of net trading income, there was here in Poland, the mark-to-market of the participation in a payment company that the bank owned that largely explains this value. Operating costs, I would like to highlight the cost to income of 37%. So in consolidated level, as I commented, there is this growth of 10.5%, but adjusting for the seasonality, I would say, of the negotiation with the unions, it would be 8.7%. And in Portugal, 8.5%, adjusting for the seasonality around 5%, perfectly aligned with the guidance of mid-single digit that we had anticipated. Cost to income in Portugal, 35%, which clearly shows the resilience of our business model. Cost of risk, cost of risk around 30 basis points. As we see in Portugal, a level of 33 basis points, so around -- hovering around 35 basis points, which I would say, is close to the new normal of the bank, at least for this macro environment in which we are living right now. Cost of risk in Poland benefiting from a credit sale that I had anticipated, I would say, before credit sales, the cost of risk in Poland should hover around the 40 basis points. The continued decrease in NPE. So in spite of the low level of NPEs in the several geographies in which we are, and I would here like to highlight the level of nonperforming loans, really nonperforming loans with more than 90 days past due that is already around 1%, which is a very low level. And with -- if we include the unlikely to file already below 3%, around 2.7%, only focused on loans. If we include the securities and off-balance sheet items, also this total ratio that includes unlikely to sell is also already below 2% -- unlikely to pay already below 2%. And in Portugal, a further reduction of 26% year-on-year with the NPE loans ratio, including the unlikely to only at around 2% as we see in Page 16. In our international operations, the NPE ratio is higher, but below 5%. And this is, to a large extent, linked to the business model in these geographies. In Mozambique, we have a very small credit portfolio and very low, I would say, exposure to credit of companies. Also a lot of it is to the individuals. And in Poland, we have a high concentration also in unsecured loans. As you know, part of our strategic targets is to diversify our business model also to SMEs and corporates. But in the meantime, we tend to show a higher NPE loan ratio, but still very consistent with a very healthy model because the spread of the unsecured loans is a multiple of the cost of risk. Activity, solid activity. Customer funds growing 5.5% year-on-year at group level and 4.6% in Portugal in the several lines in our international business growing 7.5%. This shows the strength of our franchise and our business model, and our ability to reinforce our position both as a savings and investments house and the daily banking house. The loan portfolio growing at group level 3.4%. Here, I would like to highlight the important growth in Portugal of the loan portfolio overall of more than EUR 2 billion. As you see here in graph in Slide 19. In the international operations, quite stable. This is, to some extent, linked to the effort that we are doing in Poland of recalibrating, so to say, our balance sheet in Poland so as to have a business model that is more diversified and has a higher share of SMEs and micro business and small corporates, I would say, vis-a-vis the market share in mortgages. As you may recall, when -- 2 years ago, 1.5 years ago, we had the issue of the credit holidays, and we had the issue of long-term finance ratio. We were particularly affected vis-a-vis our competitors in Poland. We want to converge, I would say, to a ratio of mortgage to total credit that is more aligned with the system exactly to be a more diversified bank. In terms of capital and liquidity, stability in the capital ratio. I would say this is a particularly good news, and when considered in the context of the growth of the credit portfolio. This is not something that we should expect forever. As you know, on average, we would expect our RWAs to grow aligned with the growth of our credit portfolio, maybe even a little bit higher because we are focusing more on the corporate and SME business, which is typically more RWA-intensive. However, in this specific quarter, we -- because of the composition of our growth and the lower risk asset intensity of our growth, we were able to grow almost without any increase in terms of RWAs, which means that we were able to appropriate the very small 25% accrual of the P&L and considering the 25% accrual, mainly when we consider the last quarter, together with an almost irrelevant growth of RWAs, this has made it possible for us to actually increase our capital ratio when we compare with the 15.9% of the last quarter. But going forward, as we had commented in the context of our long-term plan, our objective is to continue to grow at this type of levels, around 5%, but with a higher risk asset intensity. And we should expect that a growth of credit of 5% also to contribute to a higher growth of RWAs, and this ratio to slowly, I would say, normalize. A very strong capital position, as we see here in Page 22, with a leverage ratio that compares very well with the leverage ratios in the main or most of the main European economies. You see 6.4% comparing with 4% in France, 5.6% in Germany, and 5.5% in Spain, which also translates in a high risk weight density, which gives us some comfort in terms of modeling risk going forward. MREL requirements, clearly above minimum MREL requirements. So very comfortable position as our bond investors are seeing. Also a very good performance of our credit spreads and the ability to access the market, I would say, in a normalized way. Pension fund coverage. The fund profitability, the fund profitability has been 1.6% as of June '25. So somewhat below, I would say, the reference actuarial rate. However, because of the growth of the long-term interest rates, a quite positive impact in terms of the liabilities of the liabilities, which means that we still maintain an important buffer above the minimum. You see that the pension fund has EUR 3.3 billion of assets for liabilities of EUR 3.05 billion, which means that the difference around EUR 250 million is a buffer to observe potential actuarial differences before having any type of impact in terms of capital. The liquidity position is very robust. I will not enter into it. And now I'll pass the floor here to Bernardo.
Bernardo Roquette de Aragão de Portugal Collaço: Thank you, Miguel, and good afternoon, ladies and gentlemen. I will start on Page 27, that's related with Portugal, where net income reached EUR 424 million in the first half of '25. That corresponds to an increase of 3.2% compared with the same period of last year. I think that for this favorable contribution or evolution of the Portuguese net income, it should be highlighted the increase of net operating revenues of almost EUR 90 million and the reduction of almost EUR 11 million on impairments and other provisions. Regarding operating costs, and as it was already explained by Miguel, on a pro forma basis, costs increased 5.1%. On Page 28, net interest income stood at EUR 659 million in the first half of this year. That means 2.2% below what was recorded in the first half of 2024. But once again, I think it's important to highlight if we do a quarter-on-quarter comparison that NII increased 2.2%, and it's broadly stable, as Miguel also mentioned, over the last 4 quarters. And the previous one, there was a small decrease that was related with the calendar effect. Regarding year-on-year evolution, as you can show from the graph, NII decrease reflects the lower income generated by the loan portfolio that was partially offset by the increase of the performing loan book. by the reduction of interest paid on deposits, lower wholesale costs, and the positive contribution from the securities portfolio. NIM stood at 2.12% at the end of June '25, which is the same level reported in March '25 when interest rates were almost 40 basis points higher than they are right now. Moving to Page 29. Commissions amounted to EUR 307 million in the first half, increasing 6.7% compared with first half '24. Banking fees and commissions went up 7.7%, supported by higher bancassurance fees and by the increase of clients that have BCP as a first bank. Regarding market-related fees, there was an increase of 2.2%, mainly reflecting the higher contribution from asset management. Trading results evolved from minus EUR 4.7 million in the first half '24 to a positive contribution of EUR 7 million in the first half of this year, and equity accounted earnings were broadly stable year-on-year at a level of around EUR 30 million. Other net operating income registered also an improvement, evolving from minus EUR 25 million in the first half of last year to minus EUR 21 million in the first half of this year, and this is mainly due to lower mandatory contributions. Going to Page 30. Operating costs totaled EUR 342 million, which is 8.5% higher than the EUR 315 million of last year, although as already mentioned twice, if you analyze the cost evolution on a pro forma basis, meaning that, I mean, considering the accrual of the salary increases and the variable remuneration that was booked in the second half of last year, operating costs went up 5.1%. In terms of branches, there was a small reduction. And regarding the number of employees, there was a reduction of 50 employees. Moving to Page 31, which refers to asset quality. As highlighted before, there was a sizable reduction of NPEs. NPE reduction since June last year was above 26%, meaning almost EUR 290 million, and it should be noticed that from the total figure of EUR 820 million of NPEs, more than 50% are other NPEs and not really 90 days past due exposures. Cost of risk stood at 33 basis points in June, which is a similar level than Q1 of this year. That compares with the stated cost of risk of 28 basis points in June '24. But as it was also mentioned, that was affected by an impairment reversal in Q2 of 2024, which excluding this effect, cost of risk would have stood at 52 basis points in the first half of last year. Now moving to Page 32, which looks at the NPE coverage breakdown. As you can see, total coverage of NPEs stood above 140%, NPE coverage by loan loss reserves at 94%. And here, I should also highlight that the total coverage for companies stood at 134%. On Page 33, that shows the evolution of foreclosed assets and corporate restructuring funds. Net value of foreclosed assets stood at EUR 46 million, that compares with EUR 66 million 1 year ago, meaning a reduction of more than 29% or a decrease of almost EUR 20 million. Regarding corporate restructuring funds, exposure at the end of June stood at EUR 323 million. That compares with EUR 393 million in June '24. Now on Page 34, in terms of total customer funds, we reached in Portugal EUR 72.3 billion, an increase of 4.6% compared with June last year. On-balance sheet funds stood at EUR 56.5 billion, reflecting an increase of 4% year-on-year and off-balance sheet funds went up almost 10%, meaning an increase of EUR 1.4 billion compared with June '24. In terms of the gross loan book, it stood at EUR 41.5 billion in June '25, an increase of 4.6% from previous year. And this increase reflects the strong performance on loans to individuals where mortgages registered an increase of 8% -- and in terms of corporate lending, it should be highlighted the positive trend that becomes even more visible in the quarter-on-quarter comparison, where loans to companies registered an increase of 5%. Going to Page 35, it is possible to see the new loans origination by segment and the recognition of BCP as the main bank for Portuguese companies. Performing loans in Portugal went up 5.5%, meaning an increase of more than EUR 2.1 billion. Loans to individuals grew 8% year-on-year with a relevant contribution for mortgages that increased 8.2%. And here, once again, it must be highlighted the performing loans to companies that increased 2.5% year-on-year. But as I said before, on a quarter-on-quarter comparison, exposure to companies went up 5%. Now in terms of international operations, and on Page 37, results from international activity went up 11.8% to EUR 146.6 million. Dynamics were different in Poland and Mozambique. Bank Millennium in Poland net profit stood at EUR 121 million in the first half of '25, up 43% from previous year, while Millennium BB Mozambique recorded a net profit of almost EUR 24 million that is lower than the amount recorded the year before. And as I mentioned -- and as it was mentioned in Q1 '25, the decrease was related with the downgrade of the sovereign debt, leading to an increase on financial assets impairments. Moving to Page 38, which refers to Bank Millennium. Net income went up more than 43%, but profitability continued to be impacted by costs related with CHF mortgage loans. If we exclude this specific effect, net income grew 6.9% compared with the same period of last year and would have stood above EUR 380 million. Net operating revenues up 13.6% and operating costs, including mandatory contributions, up 15%. If we exclude mandatory contributions from costs, increase of the cost base was 11% CET1 and total capital at 13.8% and 15%, respectively, are clearly above the minimum requirements despite the quarter-on-quarter reduction related with the application of CRR 3 in the second quarter of this year and the fact that Bank Millennium is not considering in their first half capital figures, the earnings of the first half results. Considering the first half '25 net income, CET1 and total capital ratios stood at 15% and 16.8%, respectively. On Page 39, some detailed information about Bank Millennium. NII increased EUR 32 million compared with the first half of last year. NIM stood at 4.18%, which compares to 4.32% in the first half of '24. And it is important to highlight that National Bank of Poland cut interest rates by 50 basis points in May and already in July, another additional cut of 25 basis points. Fees and commissions were down 5% and the reduction was mostly related, as Miguel said, with bancassurance commissions that are expected to be recovered over the year and somehow aligned with the expectations in terms of volume growth. Trading contribution for P&L from Bank Millennium was influenced by the revaluation of the stake that Bank Millennium has in a local company. And mandatory contributions went up EUR 51 million compared with the first half of '24 as you know, the Bank Millennium started to pay the banking tax in June '24 after exiting the recovery plan. Moving to Page 40 related with asset quality. Cost of risk stood at 21 basis points. That compares with 50 basis points in June '24. And as it was already mentioned and on the presentation of Bank Millennium, in the second quarter, cost of risk of the Polish subsidiary was impacted by the sale of NPLs. Nonperforming loans more than 90 days past due stood at 2.1% and coverage by loan loss reserves of nonperforming loans stood at 153%. On Page 41, customer funds in Bank Millennium grew 6.7% year-on-year. Off-balance sheet funds grew more than 34% and total deposits 4.5%. In terms of loans, gross book stood at EUR 18 billion, which is slightly lower than in June 2024. Mortgage loans decreased 4% and personal loans went up almost 4%. And regarding companies where Bank Millennium has a strong focus, exposure to companies increased more than 6.5% compared with June last year. On Page 42, regarding FX mortgage, it's worth mentioning the continued reduction of the CHF portfolio, which showed a reduction of 31% since June '24 and by 10% since March '25. CHF loan book at the end of June '25 represented only 1.1% of the loan portfolio, which compares with 2.4% 1 year ago. Cumulative provisions for legal risk stood at EUR 1.74 billion, representing 142% of the CHF mortgage portfolio. It is also possible to see, once again in this slide, the downward trend of the new court claims and the capacity and focus of Bank Millennium in reaching amicable settlements. This is another quarter where agreements with CHF agreements regarding CHF mortgage loans with clients were above new individual lawsuits. Turning to Page 43, with regards to -- now to Mozambique, to Millennium Bim. Performance in Mozambique was impacted by the downgrade of sovereign debt ratings, leading to additional impairments on financial assets at the end of last year and the first quarter of this year. And as a consequence, the net income decreased from EUR 46 million in June '24 to almost EUR 24 million in June '25. Net operating revenues went up almost 7% and costs registered an increase of around 10% compared with previous year. And this could be also partially explained by the increase in terms of the number of employees. Capital ratio stood at a very high level, and it stood at the end of June at 37.2%. Moving to Page 44. NII went up more than 9%. And for this evolution, Millennium Bim, there was a contribution, let's say, from the reduction in the local currency requirements for non-remunerated cash reserves that has been applied since January '25. NIM was broadly stable, above 8%. Commissions registered a negligible decrease of 2.5% and other income that includes mostly the contribution from the trading line on the Mozambique operation, went up more than 4%. On Page 45, regarding asset quality, nonperforming loans 90 days past due stood at 3.6%. That compares with 3.8% 1 year ago. And coverage, it's above last year at the level of 125%. Regarding volumes on Page 46, you can see in Mozambique that customer funds increased 6%, driven mostly by the increase on demand deposits and loans to customers registered an increase of almost 4%, supported by the growth on personal loans, as you can see, that was also registered a decrease in terms of loans to companies. And thank you for your attention. Before we move to Q&A, I will return to Mr. Miguel Bragança for some final remarks.
Miguel de Campos Pereira de Braganca: As usual, here, we present the key metrics of our plan. As you may see, we are clearly on track to deliver on our plan. The business volumes behaving very positively, clearly on track to achieving business volumes above EUR 190 billion by 2028 in terms of number of customers and number of customers also with a high share of mobile that will enable us to serve them with a high quality and in a cost-efficient way. The cost to -- the common equity Tier 1 ratio behaving also very favorably and consistently with a high ROE, clearly above the targets that we have set. I will open now the floor to Q&A. Thank you very much.
Operator: [Operator Instructions] And now we're going to take our first question, and it comes from the line of Ignacio Ulargui from BNP Paribas.
Ignacio Ulargui: I have 2 questions, if I may, and one follow-up on a clarification. So the first one is on NII. How should we think about Portuguese NII after the performance of 2Q? Do you see it -- we have seen already the bottom? And do you think, Miguel, the mid-single-digit growth expectation for '26 that you flagged last quarter is still valid? Second question is on capital. You have had a very good performance on capital. You have still a very big buffer with above 13.5% target that you have. I mean, how should we think about the use of that capital? I know that you have said that the plan has been -- that you had a plan based on organic growth. Is it reasonable -- when should we have a reasonable view when this capital could be distributed or used in any way? And finally, one clarification on the tax rate evolution. I mean, one -- looking to the tax rate, it's very low in Portugal. How should we think about it going forward? And also wanted to get a bit of your sense of the implications from the recent plans of the Portuguese government to reduce the tax rate in Portugal from 20% to 17%.
Miguel Maya Dias Pinheiro: Okay. Thank you very much. Starting with the last question about the tax rate. The type of tax rate that we are seeing in Portugal, we think they are consistent, and we can expect this type of tax rate on the mid-20s going forward, ex this evolution that we are seeing of the potential changes to the tax rate in Portugal. So first, there is a proposal on our parliament, as some of you may know, of reduction of the tax rate from 20% to 17% in 3 years, but already legislated, so to say. So there is a reduction of 1% a year, so as to reach 17%. Once we get there and as we went there, we would expect a proportional reduction on our tax rate of 1 percentage point a year because this is almost -- I'm speaking about the Portuguese operations. This is almost automatic. And this is good news. So I was here first, of course, having a 3% reduction on taxes for our profitability is good news because this translates immediately into higher profitability and the higher profit, and consequently, in principle into a higher valuation. Nevertheless, there is a short-term impact in terms of DTAs and in terms of capital. So we don't expect this to have an impact necessarily in terms of profitability. But if this law is approved, and in spite of this being a good news from a value standpoint, -- in terms of capital, we would expect because of the reduction of DTAs, something around, give or take, around 15 basis points of reduction in terms of capital. So I think -- but nevertheless, it's much less in terms of impact than what we would expect in terms of the impact in terms of valuation of the bank. In terms of capital, as we have presented as a plan, it was -- it is a 4-year plan, a plan until '28. And the base of our plan is growth, growth both in terms of customer funds and in terms of credit, a growth in terms of credit that we expect to have a CAGR more or less around 5% in Portugal a year, in Poland, maybe a little bit more than that. But changing, so to say, somewhat the mix into a portfolio with a somewhat higher risk-weighted asset density because we want to focus more and more in our 2 main geographies in the SMEs and corporate business, with higher risk asset density. So this means a higher RWA consumption. So as we move forward, our plan is to allocate this capital or this generated capital to growth, to organic capital growth. This quarter, but we cannot see it every quarter, we were able to grow exactly this 5% of the deals and of the origination that we had this quarter and of the amount of government guaranteed credit that we have this quarter and of the risk profile that we have originated this quarter, we were able to grow credit without, I would say, the proportional impact in terms of RWAs, which is very positive. But going forward, looking until '28, what I would expect is that our growth in RWAs will be somewhat larger than our growth in capital. And this means that by distributing 75% of our profits every year through dividends and through share buybacks. This means that we will converge, I would say, to CET1 ratio comfortably above 13.5%, and this is our plan. If, for whatever reason, the environment changes and we are not able to grow, of course, we have to come back to you and present another plan. But as of today, this is the plan, and we are delivering on the plan. In terms of NII, the message here for this year, both for Portugal and Poland is a message of stability of NII or resilience of the NII, which is in a scenario of decrease of interest rates. Looking to '26, I would say, in Poland, in spite of a further reduction in interest rates, we would expect the margin in Poland to continue relatively resilient. In Portugal, what we would expect even if the ECB rates goes to as low as 175, but based on the forward rates that then starting next year, our NII will start growing, I would say, low to mid-single digits in Portugal, consistent with the growth of the business volumes of 5% and a marginal margin contraction. So to make a long story short, NII resilience in Portugal, resilience this year, and some growth next year.
Operator: Now we'll go and take our next question. And it comes from the line of Alvaro Fernandez from UBS.
Alvaro Fernandez-Garayzabal Gonzalez: I have 2. First, we have seen a strong acceleration in corporate lending in Portugal. So what has driven this performance? What are your expectations for coming quarters? And is the EUR 18 billion book you have right now sustainable towards year-end? Or should we see a reversal? And second, CHF provisions in H1 have declined 8% year-on-year and just 2% compared to the second half of '24, so not significantly. So my question is, how do you see the second half of this year relative to the first? And also if you could give a bit more color on 2026?
Miguel Maya Dias Pinheiro: So we think that a corporate lending growth around the mid-single digits is sustainable. So I cannot commit that every quarter, this will be gradual because mainly when you speak about corporate loans and about the larger SMEs, there is always some bulkiness there, but we do think it's sustainable. We have pipeline for this. We are seeing also some interest right now finally, also in line with the secondary effects of the PRR of the funds that come from Europe, and the investment in several projects are secondary effects. So we feel comfortable in Portugal that this type of growth rates year-on-year of mid-single digits are sustainable. In terms of the P&L for the rest of the year, the guidance that we have given is maintained. So I would say, a resilient NII. So our NII has been quite stable. We think that in spite of a further reduction in interest rates, we will continue to have a resilient NII, mid-single- digit fees and commissions line evolution, which we think is also still possible, a mid-single-digit cost evolution, and a cost of risk hovering around 35 basis points. We think all these guidance maintains this validity.
Operator: And the question comes from the line of Maksym Mishyn from JB Capital.
Maksym Mishyn: I have 3. The first one is a follow-up on loan book growth. Given your comments on mid-single-digit growth for corporate loan book, you're growing 8% in mortgages and consumer. What should we expect for overall loan book growth in 2025? Maybe you can grow on top of the mid-single-digit guidance? The second one is on fees. They delivered a notable surprise in Portugal, and I was wondering if you expect momentum to continue in the coming quarters? And what was the driver of the performance? And then the final question is on other provisions. They were almost absent in Portugal and just wanted to update the expectations for the rest of the year.
Miguel Maya Dias Pinheiro: Okay. Starting with the other provisions. The other provisions as the trading line, by the way, are by its nature, more hard to predict because these provisions are linked to risks that are more difficult to model and harder to predict. So we -- this was effectively, as you comment, a good month in terms of other provisions, but the type of guidance that we have been giving of around EUR 10 million to EUR 15 million per quarter, I would not change it because it is difficult to anticipate what can go wrong and just based on the magnitude of our balance sheet and our magnitude of balance sheet of our -- of the risks the operational risks, not only that are linked to our model, we think it is prudent to assume that, I would say, across the cycle, I would say, this type of other provisions are the reasonable ones. In terms of loan book and the fees and commissions, up until now, there is always some bulkiness in this area. Let me tell you, for instance, in the fees and commission line, there were some fees that being recurrent, they are not recurrent every quarter. So there were some fees, for instance, that had to do with incentive fees from Visa that are paid once a year. So this means that we cannot assume that the full value of the increase in terms of fees and commissions is total recurrent for the year. So for the time being, we are maintaining a mid-single-digit guidance, albeit maybe with a slight positive bias in the sense that if the markets perform well, there will be more asset management fees and investment fees. Basically, that is, I would say, a slight positive value, but it's still early days to say whether the markets will perform well or not, and whether there will be an accrued interest for investments and asset management products. And I would say the same goes also for the loan book. The 5% increase year-on-year, we think it makes sense. There's always some bulkiness there, mainly when we speak about corporates. There is also, of course, a trade-off between growth and price, which, I would say, on the short term, there is probably an excessive growth has even a negative impact in terms of NII. So we are very prudent in terms of pricing. We do think that this type of growth is sustainable and accrues value to our shareholders. At this point in time, we would maintain this type of guidance in the mid-single-digit area.
Operator: Now we're going to take our next question, and it comes from the line of Francisco Riquel from Alantra.
Francisco Riquel Correa: Two follow-ups in fact. First one is on the margin dynamics and NIM, resilient NIM in Portugal that you mentioned. If you can elaborate a little bit more, please, on the evolution between the customer spread and the NIM, and in particular, the cost of deposits front book versus back book dynamics, and also now that you are accelerating growth in loans, also front book versus back book dynamics there would be useful. And second is also a follow-up in the corporate loan growth, this mid-single-digit growth that you think is sustainable. So this -- I mean, we know demand in mortgages is strong, but corporate loan book has been lagging in your case. So the question is what has changed? So you previously mentioned that you were impacted by the repayment of COVID lines. Is that fading now? So where do you see corporate loan demand coming from mainly?
Miguel Maya Dias Pinheiro: Okay. Starting with the corporate loan book. Yes, you're right. I mean, in the last years, we were very, very successful in terms of the COVID lines, the COVID-19 lines. But the other point of this success is that some of these loans were contracted for safety reasons for prudential reasons by the customers. And they effectively -- as the COVID issues did not materialize to the degree that people were concerned about, basically, they have repaid the loans because it was -- to some of them, it was almost an insurance loan. So the success that we have was then counterbalanced, I would say, by a negative dynamics when these loans were repaid. But in the meantime, this was a good business. We made, I would say, an interesting profitability for our bank, and for our shareholders and our customers were adequately served. As you said, I mean, now that this is fading away, this is also helping the situation. So this is one situation. The other issue is as these European lines and these European investments become or are materialized, so to say, we see customers trying to access this type of lines. We see the customers of these customers also trying to prepare themselves for this type of lines. And this explains to some extent, this renewed interest in terms of loans. So all in all, for the time being, except if there is, I would say, a major macro crisis in the -- I would say, in Europe, which is not clearly not our base case scenario, we feel confident that this is a trend that is -- that will continue. In terms of the deposits, we do have a deposit -- just check here. Typically, our -- we have been showing, I would say, EBITDA slightly below 50%. So as the interest rate goes down, I would say, in terms of deposits, our deposit cost in terms of term deposits goes down, but only by around 50% of this value. So I think this is the best way to approach it because in this scenario of decreasing interest rates, it is the best way to approach because, of course, as interest rate goes down, mainly when we speak about deposits, the loan -- I'm sorry, the deposit pricing, of course, in a scenario of decreasing interest rates, the front book is lower than the back book, but not by as low as the amount of the decrease in the Euribor rates. On the other hand, in terms of the spreads, we are seeing resilience in terms of asset spreads. And we are, so to say, hedging the fact that most of our current accounts are non-remunerated and the fact that we have EBITDA of 50% with a portfolio of government debt and with a portfolio of interest rate swaps that allows us even in spite of this reduction of interest rates, to maintain a very resilient margin. So I would say that our -- the hedging of our balance sheet is what allows us to maintain the NII in spite of the fact that our current accounts are fixed rate at 0 and in spite of the fact that our term deposits have EBITDA of around slightly below 50%. So I think this is the best way to explain it. And this is what will allow us to have -- or is allowing us already for 4 quarters in a row to have a very resilient margin. And going forward, once the interest rate hit its bottom, we expect by the end of this year to start growing in terms of NII aligned with the business volume growth.
Operator: Now we are going to take our next question, and the question comes from the line of Carlos Peixoto from CaixaBank.
Carlos Joaquim Peixoto: Yes. A couple of questions from my side as well. The first one would actually be on capital. The first one would be in terms of DTAs, how much deductions from DTAs you still have? And how much DTAs are being deducted to CET1 right now? And what is the pace at which you believe that deduction can come down as you use the stock of DTAs? And then -- and still related with that, looking into off-balance sheet DTAs, which I believe you still have somewhat of a significant amount. Are there any changes in your view regarding the recoverability of those DTAs? Or what I'm meaning here is that whether you can you can start bringing back the balance sheet, some of those? And then just a follow-up on the capital and capital distribution that you were discussing before. I was just running here quick maths, but I was running numbers with a 6% growth per annum in RWAs and a 25% retention on net profit, and let's say, net profit around EUR 1 billion. The fact is that I would still be getting to something closer to 15% CET1 ratio at the end of the business plan rather than closer to the 13.5% that you mentioned, Gary. Are there any missing pieces here in terms of CET1 evolution, any relevant ones that we should bear in mind? Or are you just being conservative on your expectations on capital?
Miguel Maya Dias Pinheiro: Starting with our last question. As you see in our Page 48, where we have presented our targets, there is a reason why we said that we want to have a CET1 ratio above 13.5%. It's not at 13.5%, it's above 3.5%, okay? So the ratio is more than 13.5%. It's not 35%. So of course, there is a buffer above 13.5% that we want to get to. So this is part of the answer. The other part of the answer is the RWA density. So as we grow in businesses, including in Poland, where we almost have -- we have very little in terms of SME credit and corporate credit, but also to some extent, in Portugal with a high RWA density and with less reliance on mortgages, the growth of RWA will tend to be higher than the growth in terms of credit. So this is the part of the answer. In terms of the -- you will see, by the way, in very much detail, we will publish our semiannual report -- I'm sorry, end of first week of August. And we will see a lot of information and a very intensive note in terms of loss carryforwards about DTAs. I'm seeing here the note now in front of me, 1, 2, 3, 4, 5, 6, 7, 8, 9 pages of a note that we are very transparent and we explain this in very much detail. And if you want to read over your holidays, I think it will make a very interesting reading. But in any case, what I would like to highlight is, yes, we do continue to have off-balance sheet DTAs. These off-balance sheet DTAs are slightly below EUR 800 million, and to be more exact, EUR 772 million, and they have not changed since December. So this is an important point. It is -- secondly, it is possible that as time goes by, we recognize a part of these DTAs, mainly in the context if the law is approved of a lower tax rate in Portugal. So if the tax rate -- if the risk of the tax rate or the risk of the event of the tax rate coming down materializes, this, of course, has a negative impact on DTAs, a positive impact in terms of valuation. We may, so to say, recognize a part of these DTAs to immunize this impact because it makes sense. In terms of the guaranteed DTAs what we have in June of this year is EUR 1.24 billion, which have been reduced by around EUR 100 million since December. So what we are seeing here, we are seeing more or less, I would say, a rhythm of reduction of guaranteed DTAs of around EUR 100 million per -- for each half year, if you want, EUR 200 million per year, this has been more or less been the rem at which we have been amortizing, so to say, these guaranteed DTAs. But you have a lot of information in the annual report.
Carlos Joaquim Peixoto: Sorry, just one thing. I was actually referring to the amount of DTAs that is actually being deducted from CET1 and the…
Miguel Maya Dias Pinheiro: No, no. No, I'm commenting the amount of DTAs that are guaranteed and count as capital. The amount of DTAs that are deducted from capital as of today are the tax loss carryforwards, which is around EUR 100 million. I'm sorry -- so the amount that is deducted are the tax loss carryforwards. The amount that is guaranteed as capital are the guaranteed.
Operator: And the next question comes from the line of Noemi Peruch from Mediobanca.
Noemi Peruch: I have a clarification on the tax rate. So shall we understand that 15 bps you mentioned, so basically EUR 60 million. So I just would like to ask a clarification on the tax rate. You mentioned 15 bps, so basically EUR 60 million. Shall we increase temporarily the 25% tax rate by this EUR 60 million in the next 3 years? And I understood correctly that you may offset such an impact with the tax loss carryforward write-up, perhaps. And then my second question is on capital again. I understand that organic growth is the priority, but the buffer, like above 13.5% is really meaningful. So I was wondering if there is a chance that you might be in a position to reconsider your distribution policy with the full year results, or maybe if that's too early? And then in here in terms of strategy, would you see M&A options in your current markets? Or would you consider entering a new market perhaps?
Miguel Maya Dias Pinheiro: So we try not to be victims of what some consultants call the paralysis by analysis. So we have moments to plan and moments to execute, okay? So we were planning during 6 months, we developed a plan. We had all the governance around the plan. We created a consensus around the plan. Now we are in execution mode, so to say. We're not in planning mode. Of course, the life may change. So something may become dramatically different. But if you ask me whether I think it is reasonable for the environment to change so much until year-end that we will have to reconsider our plan. I would say it's highly unlikely. Of course, nobody can foresee the future. But I would say that until year-end, unless there is something very extraordinary that I don't think it's in the base case of anybody, I think it's highly unlikely. Of course, nobody can totally forecast the future, but it's highly unlikely. Let's see next year, whether we are growing at the pace that we expect. And in this context, let's see. Let's see, we will reconsider. Of course, this is not a decision of any single person. This has to come through all the governance structure of an institution. We have to engage with the different stakeholders, shareholders. We will listen to you as we always do. But to the moment, what we are focusing on is on delivering in the plan. In terms of the rate for Portugal. The tax rate in Poland is a little bit more complicated because of the fact that the Swiss franc mortgage costs are not tax deductible. The cost of contributions is not tax deductible, and this weigh a lot in the Polish assets. So I will not enter too much into it. But there is an interesting explanation on it on the Q&A of our Polish bank CFO. So I will refer to it, but then we can also take it by side. But commenting to Portugal, what we are seeing is the following. We are presenting a tax rate of around 25%. Last year, we had a tax rate, an effective tax rate of around 26%. And we think that going forward, this is something that we can assume as, I would say, a new normal absent a tax rate change, okay? This is where we stand right now, okay? If there is a tax rate change, we have to see it in detail. And if the tax rate goes down by 1%, 2%, 3%, this would probably have a proportional effect in terms of this tax rate. Let's see exactly what are the details of it. But I would expect if the tax rate change, the effective income tax rate also to change. So this is what I would like here to highlight. The other question, I don't know exactly what was the other question that you asked, but maybe we can then take it offline to clarify.
Noemi Peruch: I was wondering the 15 bps of common equity impact in…
Miguel Maya Dias Pinheiro: Okay. Let me just -- okay. So if we -- if there is -- but I would say this is -- the law is in the parliament, but the law has not been approved yet. And by the way, last year, the government tried to come up also with a similar solution. And I would remind you that the government does not have the majority in the parliament. And the second largest party at the time did not agree with this measure, and it was finally not approved. But the law that the main -- the government party is presenting to the parliament that we don't know whether it will be approved or not, foresees a reduction in the tax rate in 3 years of 3%, okay? If this happens, this will have 2 impacts. The first and the largest one in terms of valuation is the one that I had commented, that is a reduction of the effective tax rate over the period. In principle, it goes without saying that it's better for the shareholders and for the companies to have a lower tax rate and to have a higher tax rate. So you should not forget this. So it's -- the net impact is positive. So it reflects immediately in terms of the P&L and in terms of the distribution and so on. So 3% more profits is in principle around 3% more value, I would say. So this is the one that we have commented. Then there is another impact is, I would say, a short-term impact that is the reduction of the value of the DTAs, okay? The reduction of the value of the DTAs, of course, if the tax rate is lower, the DTAs are worth less. This reduction of the value of the DTAs to the extent that the DTAs count as capital, to the extent that the DTA count as capital, has some impact in the capital ratio. This impact is not very large, mainly when we consider it in the context of the value that may be generated by the reduction of the tax rate, but it's around 15 basis points.
Noemi Peruch: Okay. And sorry, I just have a few clarifications to ask. Are the 15 bps to be taken every year for 1 percentage point of lower number of…
Miguel Maya Dias Pinheiro: It depends on how the final law is worth, I would say. But it is possible that if the law clearly states that the tax rate goes to 17%, it depends on how the law. If the law clearly states the new tax rate is 17%, but there is a transitional period, it has to be taken upfront. If the law states the new tax rate is 1 percentage point below the current tax rate, but we intend to reduce it over time 1 percentage point per year, it would be over a 3-year period.
Operator: And now I'm going to take our final question for today, and it comes from the line of Borja Ramirez from Citi.
Borja Ramirez Segura: I have a couple of quick follow-up questions, please. Firstly is on the hedging portfolio in Portugal, which I understand was EUR 40 billion notional in Q1. I would like to ask if there's any changes in the size and the average maturity, and the yield? And also if you see any opportunity to further reprice? And then my second question would be on Poland. If you could give a bit more detailed guidance on the NII developments in 2025 and 2026 based on the current curve? And lastly, on the RWA growth, if I understood well, it will be higher than the loan growth. But could you give a bit more precise indications on the RWA growth in 2025 and 2026, please?
Miguel Maya Dias Pinheiro: Starting with your last question. I mean, we have our own objectives. But one thing is the objective. The other thing is what exactly what will be possible and what is the reality, so to say. What I can tell you is that on average, we will try to focus more on the SME and on the corporate market that has a higher RWA growth, almost twice than the RWA -- I'm sorry, RWA weight than the RWA of mortgages. When we go -- the more granular we get, the more difficult it is to be absolutely precise on what will occur in exactly 1 quarter, and we don't think it's very useful because the reality is so -- I mean, it's by its own nature, quite uncertain. So what we should expect is an RWA growth that is higher than the RWA than the credit growth, and I would not go much to go above it. In terms of the -- our interest rate hedging risk and so on, in our hedging of our interest rate risk, we do have a portfolio that is composed of 3 parts, I would say, of government debt, of unhedged, I would say, fixed rate loans, typically consumer loans or mortgages that have at least an initial period that is fixed rate and interest rate swaps. So we have these 3 elements. So a part of our hedging of interest rate has to do also with our commercial activity. These have not changed very materially since last -- since we published our annual report. You will see also some more detailed information in our semiannual report that we will publish at the end of the first week of August, but these have not changed very much. But what I can tell you is the following. The EUR 80 billion that you comment is not the correct way to look at it because this is only the swap part. It includes the swaps and the swaps that we do to cancel the impact of the swaps. So as of '25, I would say the value of these 3 legs, I would say, and they are more or less 1/3 each is around EUR 40 billion by heart. And we have the non-remunerated demand deposits around EUR 28 billion. So we have a value of fixed rate that is in excess of the demand deposits. And so this excess is to compensate the fact that the term deposits, so to say, which are around EUR 25 billion, have an EBITDA of 5 -- of around 50%. So the way to look at it, the simplest way to look at it is we have a portfolio of fixed rate instruments, so to say, that hedges us for the fact that our current accounts are fixed rate at 0 and our term deposits are not totally floating rate instruments, but has a fixed rate component. And this is exactly what is making it possible for us to have a very resilient interest NII. So in spite of the reduction of the Euribor, we have been able to present in Portugal already for 4 quarters in a row, a very stable NII, and we expect it to continue so for the foreseeable quarters in '25. And then assuming that the ECB rate goes to 1.75% at its lower level, that to start to increase because then the part of the absorption of the decrease in interest rates will already have flown through or pass through our NII. In Poland, it is similar. In Poland, we also have fixed-rate instruments -- we also have a portfolio of government debt. And our interest -- our NII, as you see, has been very, very resilient and continues to be very resilient, and we expect until the end of this year to continue this trend.
Operator: Dear speakers, there are no further questions for today. I would now like to hand the conference over to Mr. Miguel Maya for any closing remarks.
Miguel Maya Dias Pinheiro: Okay. It's Maya. We are very pleased to show you these results. Clearly, the market has received them very well. We really would like here to commit to you that we are fully on track to deliver on our plan, a plan based on a very robust business model that translates into a very robust profitability. Thank you very much.